Operator: Greetings and welcome to the Vertex Energy Inc. Q2 2014 Financial Results Conference Call. (Operator instructions.) As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Mr. Ben Cowart, Chairman and CEO of Vertex Energy. Thank you sir, you may begin.
Ben Cowart: Thank you, Operator. Good morning. Joining me today on the call is Mr. Chris Carlson, our Chief Financial Officer; Mr. Dave Peel, our Chief Operating Officer, and Michael Porter, our Investor Relations Consultant at Porter, LeVay & Rose. Before we get into the business portion of this call and on behalf of the company I’d like to inform you that the company expects to make forward-looking statements during today’s call. Statements including words such as “believe,” “anticipate,” or “expect” and statements in the future tense are forward-looking statements. These statements involve known and unknown risks and uncertainties and are based on management’s current views and assumptions regarding future events and operating performance. A number of factors could cause the company’s actual future results to differ materially from its current expectations. Thank you, everyone, for joining us on the Q2 2014 earnings call for Vertex Energy. This call coincides with today’s filings of our 10(q) for the quarter ending June 30, 2014. I want to start off by giving you a few highlights from Q2 and then I’ll turn the call over to Chris Carlson, our CFO, so that he can walk you through the Q2 financial performance. Following Chris’ presentation I’ll provide some thoughts on our plans for the remainder of this year and I’ll make some closing remarks. We’ll then open the line for questions. Q2 this year showed an improvement in nearly all areas relative to Q2 2013. I want to point out upfront that these financial results include contributions from the Omega deal for only part of the quarter as the first phase of that transaction closed on May 2nd so we have approximately two months’ of contribution in this quarter. Also for the purposes of clarity results from the Omega Base Oil facility in Nevada are not included in these figures as that is part of the second closing which has not yet occurred. Here are a few quick highlights that we’ll touch on in more detail during this call. Revenues increased by 105% relative to Q2 last year to $72.1 million. Gross profit increased by approximately 248% relative to the same quarter of last year to $8.88 million. Our gross profit as a percentage of sales increased from 7.28% during Q2 last year to 12.3% during the same period this year. Overall volumes of products sold, this is an important matrix for our business as it illustrates our reach into the market, it increased 84% for Q2 2014 versus Q2 2013. This was primarily a result of further increases in TCEP production as well as VGO production from the facility formerly owned by Omega. We continue to see improvements in our TCEP business both in terms of production and profitability. The integration of the Omega business has gone very well as we continue to work on building our regional strategy. We closed on approximately $17 million in financing to support our regional strategy in the Western US in particular. We have a total of $19.6 million of cash on hand and still have all of our $20 million line of credit available. Before discussing our outlook for the remainder of 2014 I’d first like to turn the call over to our CFO Chris Carlson for a more detailed review of the financial performance during Q2 2014. Chris?
Chris Carlson: Thank you, Ben. For more information please refer to our press release issued today, our latest Form 10(q) for the fiscal quarter ending June 30, 2014, as well as our other filings made with the Securities and Exchange Commission. I also want to mention before we proceed that all financial numbers are prepared, unless noted, in accordance with generally accepted accounting principles. I’d like to now discuss our result. For the quarter ended June 30, 2014, we reported consolidated revenue of $72.1 million compared to $35.1 million in Q2 2013. This represents a 105% revenue increase. The increase was driven by revenue growth across all of our business units as well as the addition of approximately two months’ of Omega-related revenue from the Marrero, Louisiana BTO facility. For the first half of the year our revenue increased to $119.4 million or 75% compared to the same period last year. Our Black Oil Division revenue for Q2 2014 was $48.9 million as compared to $19.5 million in Q2 of last year. The Omega Vacuum Gas Oil in Marrero was part of the Black Oil Division. Revenue from that facility was $18.1 million during the quarter which again consisted of only part of May and all of June. For the first six months of 2014, Black Oil Division revenue increased 70% to $72.4 million. TCEP, which is a business unit within our Black Oil Division, generated $22.9 million in revenue for Q2 2014 versus $10.2 million in Q2 2013. This 124% year-over-year increase was driven by strong volume growth of over 117% compared to Q2 of last year. For the first six months of this year we realized a 68% increase in revenue as sales of finished product increased from $25.4 million to $42.6 million. The Refining and Marketing Division produced revenue of approximately $18.5 million in Q2 versus $14.2 million in Q2 2013. This 30% increase in revenue resulted primarily from a 29% increase in production volume during the quarter. This division generated revenue of $38.5 million during the first six months of this year which is a 66% increase over last year’s first half. Vertex Recovery, which includes the E-Source business, more than tripled revenue relative to Q2 2013 to $4.68 million. For the first six months Vertex Recovery posted revenue of $8.63 million which represents a 231% increase over the same period a year ago. Gross profit increased in Q2 to $8.9 million compared to $2.6 million during the same period last year. This 248% increase is primarily attributed to our ability to hold pricing on feedstock costs combined with increased overall volumes during the quarter, particularly during the two months’ of VGO contributions. Our per-barrel margin during the quarter increased 60%. For the first six months gross profit increased by 133% to $14 million. Gross profit for the Black Oil Division was $6.55 million for the quarter, a 479% increase over last year’s Q2 gross profit of approximately $1.13 million. The Marrero VGO facility contributed $2.2 million of gross profit during Q2 this year. For the first six months of 2014, gross profit in the Black Oil Division increased 255% to $9.03 million. TCEP had a gross profit of $3.77 million in Q2 2014 compared to a gross profit of approximately $543,000 a year ago, representing an increase of approximately 593%. While we were able to improve TCEP volumes by 117%, TCEP end-product sales price increased 1% and the cost of aggregated feedstock was relatively flat. Overall our per-barrel margin on TCEP finished product improved by 218% for the quarter. During the first six months of this year TCEP gross profit increased 98% to $6.4 million. The Refining and Marketing Division generated gross profit of $1.89 million for the quarter, a 39% increase compared to Q2 2013’s gross profit. Refining and Marketing’s year-to-date gross profit of $3.47 million was a 72% increase relative to the same period last year. Vertex Recovery produced gross profit of $493,000 during the quarter compared to only $15,000 during Q2 2013. For the first six months of this year Recovery produced $1.53 million in gross profit. Selling, general and administrative expenses increased in Q2 2014 to $6.08 million relative to Q2 last year’s figure of $2.4 million. The bulk of this increase can be attributed to the additional headcount brought on by the Omega transaction as our employee base has increased from 160 people to 205 as a result of the deal, as well as increased acquisition and business development activity. For the first six months of this year SG&A was $9.67 million. This is a 108% increase relative to last year’s figure. We had net income of roughly $7 million or $0.28 per fully diluted share in Q2 of this year. This was a 270% increase relative to 2013’s Q2 net income of roughly $1.89 million which represented a per fully diluted share figure of $0.10. I wanted to point out, however, that there are a number of one-time expenses and benefits that impacted both this most recent quarter’s net income and the net income from last year during the same period. Last year our net income figure benefited from a non-cash reduction and contingent liability of $1.85 million related to our acquisition of the private company. This year our net income was impacted negatively by nearly $2 million in acquisition-related expenses which were more than offset by a $6.48 million one-time noncash bargain purchase benefit from the purchase price of the Omega assets in the most recent acquisition. For the first six months of this year net income attributed to Vertex Energy was $7.86 million. This represents a 164% increase compared to last year’s first six months’ net income of $2.97 million. Earnings per fully diluted share for the first six months of 2014 were $0.33 compared to $0.15 during the same period last year. I’d like to now turn the call back over to Ben Cowart, our CEO.
Ben Cowart: Thank you, Chris. As we look ahead to the rest of this year I want to share some of our thoughts and recent activities with the business and where we see Vertex heading for the rest of the year. We closed on approximately $17 million of financing in early June that is earmarked to support our regional strategy with a primary focus on the Western US. As discussed in previous calls we’ll be executing the second closing of our Omega transaction in the coming months which will result in taking over their base oil refining facility in Fallon, Nevada. Once the second closing takes place we believe we will be well-positioned to leverage both that asset as well as our Bakersfield, California, blending facility to become a major participant in both re-refined base oil and finished product markets in the West. We will obviously share more information on this upcoming aspect of our business once the second closing is concluded. I’m very pleased with the early results from our Omega acquisition. The business was profitable for the first two months it rolled into Q2 and the integration is going very well. The team is working well and we’ve found a number of areas where the expertise of both companies come into play on a combined basis. As a result of the acquisition we now have a broader product line with the addition of the VGO stream out of Marrero and the forthcoming base oil stream from Fallon. We believe that our more diversified set of end products will allow us to better manage changes in the end-product markets. So overall I’m very pleased with the Q2 results. Financially we generated positive net income and improved margins across the business. We were able to keep our PFO consistent with the last year and we’re working on bringing that down. TCEP continues to perform well with growth in volume and contribution margin. We had one notable event subsequent to the closing of Q2 that I want to touch on briefly. We recently announced the signing of an LOI to acquire substantially all the assets of Heartland Base Oil refinery and the Used Motor Oil Collection operations in Columbus, Ohio. Pursuing this deal speaks to our continued emphasis on our regional strategy wherein we have processing capacity within range of our used oil collection and aggregation capabilities. We will have more to discuss regarding this opportunity on future calls. As we move into the remainder of 2014 our focus will be on the following initiatives: continued integration of the assets formerly owned by Omega and specifically the Fallon, Nevada refinery and our Bakersfield operations; driving down our used motor oil feedstock costs; pursuing and hopefully closing the Heartland acquisition; and expanding our presence in the Western US. Before we move on to the question-and-answer portion of this call I want to let the listeners know that if you have any follow-up questions or comments please feel free to contact Porter, LeVay, and Rose Investor Relations representative Marlon Nurse at 212-564-4700. Also I want to mention that a digital replay will be available by telephone approximately two hours after the call’s completion for two weeks. Details on how to access the replay can be found in our current press releases. Operator, we’re now ready to take a limited number of questions pertaining to the matters discussed on this call and our 10(q). Remember, we’re unable to discuss any information or business plans which are not publicly available.
Operator: Thank you. At this time we will conduct a question-and-answer session. (Operator instructions.) Our first question comes from the line of Michael Hoffman with Stifel. Please proceed with your question.
Michael Hoffman – Stifel Nicolaus : Thank you, Ben and Chris, for taking my call – nice quarter. I’m going to have to come in and out of this queue three times I think, I’ve got too many questions, but can you help us a little bit about your thoughts on the timing of a Bango close? Should we be thinking about it contributes to Q3 or is it really a Q4 event in the context of any contribution?
Ben Cowart: Yeah, Michael, and Dave, I’ll let you answer the question. I’d also recommend just an update on how the plant started up and kind of where we’re at with the plant.
Dave Peel: Sure, Ben, yeah. This is Dave Peel. The startup of the plant has proceeded exactly on the schedule that we laid out; the startup is going very well. We have both the frontend, the distillation unit and the hydrotreater operating at this time making really excellent-quality material. But to answer the question it will be likely a Q4 impact.
Ben Cowart: Yeah, so we should close in Q3 and then you’ll see the business come in in Q4.
Michael Hoffman – Stifel Nicolaus : Okay. And a similar, if I was hitchhiking off that question to keep it to one, what’s your thoughts about if you get through all your due diligence and the consulting work on Heartland, is that a 2014 contribution or is that really a 2015? And if it is can you frame the scope of the revenues of that business?
Dave Peel: I can probably answer that one, yeah. We would expect that one to be a Q4 event also. I should say we’re doing the due diligence right now, working through that. That plant is actually coming online as we speak this week and the hydrotreater will be online next week, so over the next few weeks that unit will come up to speed.
Michael Hoffman – Stifel Nicolaus : And the scope of the revenues of that operation just so I’m understanding what that incremental contribution will be on an annual basis?
Ben Cowart: It’s going to be very similar to the Bango facility. Revenues I would expect to be in the $40 million to $50 million range on an annualized basis.
Michael Hoffman – Stifel Nicolaus : Okay, that’s what I thought. And that’s the base oil sale as well as the collection, because they have their own collection operations, is that correct?
Ben Cowart: Yes, that’s correct.
Michael Hoffman – Stifel Nicolaus : Okay. And then as you think about your capital spending needs and you now own all three plants in the context of this question, how do we think about what maintenance is versus gross capital? What’s your sort of guidance to us in the context of modeling around that?
Ben Cowart: Well, I’ve got my detail guys here to correct me but I’ll speak to it at a high level, in that both the Fallon facility as well as the Heartland facility are in just the best of condition. They’re both coming online very fresh and with capital improvements that were required and necessary to make. We do have some capital that we’ll put into the Heartland facility I would say in the $1 million range. And there’s some capital, I guess a couple of million that will spent on the Fallon facility. Maintenance CAPEX though should be very manageable. Chris, what do we have?
Chris Carlson: Yeah, maintenance CAPEX for all facilities, and I’m going to include Heartland in that, is going to range from $3 million to $5 million on an annualized basis.
Michael Hoffman – Stifel Nicolaus : Okay. And then we should think about adding $3 million for growth at some point, and that kind of puts us on a this point forward, or starting in Q4 on a twelve-month basis, you’re kind of looking at $6 million to $8 million in capital spending.
Chris Carlson: Yes.
Michael Hoffman – Stifel Nicolaus : Okay, alright. Well that was my two; I’ll come back into the queue.
Ben Cowart: Alright, thank you Michael.
Operator: Thank you. Our next question comes from the line of Chad Bennett with Craig Hallum. Please proceed with your question.
Chad Bennett – Craig Hallum: Hey, good morning guys.
Ben Cowart: Good morning, Chad.
Chad Bennett – Craig Hallum: Just a couple questions from me: first a clarification. Chris, did you say Omega was $18.1 million in the quarter contribution?
Chris Carlson: Revenue, yes.
Chad Bennett – Craig Hallum: Okay. So if you back that out I mean the organic growth in the business was really strong, I think 50% plus backing out Omega. Is there a way to think about kind of in the back half what organic growth would be? And then is there a way to think about what you’ve seen on the gross margin line in the organic business, if you saw any improvement there?
Chris Carlson: Yeah, as we talk about just the business not including Omega, organically, the majority of that as noted came from our TCEP Division, and a lot of that is more volume through the same asset thereby benefiting from the cost structure that’s already in place.
Ben Cowart: And I would also add our collection growth at the collection level, our H&H collection business is running around 40% organic growth year-over-year as far as a run rate, Chad. So that’s lower-cost feedstock coming in with the third party, all this feeding higher capacity at the Houston facility. So we’ve had you know, just good fixed cost leverage and maintaining feedstock costs with no increase and we’ve got a little bump on the total sale price over last year. So it’s really about leverage. We’re doing a good job of managing our spread.
Chad Bennett – Craig Hallum: Okay. And then from a price standpoint, sale price standpoint Ben and Chris for that matter, where are we at today kind of on a year-over-year basis? And I assume the comps in the second half of the year if you want to call them comps might look better year-over-year from a price standpoint – any comment there?
Ben Cowart: You know, sale price is very contingent on the markets so we don’t really control where the fuel markets are going to be on a day-to-day basis. What we do control is the spread, so just trying to target a sale price is always difficult because we don’t have that crystal ball. But to manage spread, that’s certainly within our control and I think we’re doing that extremely well. We had a great demonstration of that in Q2. That doesn’t really answer your question but we think the markets are solid, our products are in demand. We believe our relative value to these indices are going to continue to improve. So when we speak about improved sale price it’s not really what happens in the market and what the indices are doing – obviously that we don’t control; but it’s our value to those indices and closing those discounts. So for instance, on our VGO product we came into pricing that was discounted off of low-sulfur VGO and we’ve improved that price every sale since we’ve taken the business over. So that just means that our discount is less today than it was before and we believe that that’s going to continue to improve.
Chad Bennett – Craig Hallum: Okay. That’s good color. And then last question from me: Ben, it sounds like the Marrero plant is operating at least up to your expectations. Can you give a sense in the month and a half or two months you’ve been running it kind of is it at capacity, is the margin profile what you thought it was? And then maybe just a third component to the question, have you changed your thoughts at all on the run rate, revenue run rate you’ll get from the Omega transaction? And that’s all I have, thanks.
Ben Cowart: Yeah, that’s a good question and it’s certainly something that we’re getting our hands around. It’s very interesting, what’s taken place at Marrero, both good and not so good in the short term. One is that the plant, we’ve actually throttled the plant up on a consistent run rate of around 5300 barrels a day which is phenomenal on an annualized basis, so I’m very encouraged that there’s a lot more capacity with some of the capital improvements we’ve already made. So that’s really good. What we did run into is working with the state and our permit to increase our rates, and we had to do a lot of stack testing and proving of our emissions which we’ve now done. But in this quarter we’ve been operating in this test window to get all the data and operate under the state guidelines, so we’re running a lot lower rates this month, August and a little bit of last month, than what the plant’s capable of doing. So we’re not going to see the benefits of these productions in Q3 but all the data looks good and we’re very encouraged about what Marrero’s going to be able to do going forward, not to mention the demand for our finished product. There’s just some really very interesting and good things in store for us as we look forward.
Operator: Thank you. Our next question comes from the line of Evan Richert with Sidoti & Company. Please proceed with your question.
Evan Richert – Sidoti & Company : Good morning, Ben. Most of my questions have been answered; I just have one and then I’ll hop back in the queue. Obviously with the acquisition of Omega and now I guess Heartland, taking on some debt, can you just give me some thoughts on after Heartland presumably closes, a year or two from now, what you see a longer-term balance sheet looking like as far as leverage goes?
Ben Cowart: Yeah, I’ll pass that to Chris.
Chris Carlson: Yeah, I mean definitely as we bring in these businesses they’re profitable. We view them as profitable long-term and short-term so we’re going to continue to de-lever the balance sheet. We took on a lot of debt with the Omega transaction so we expect that and plan for that to come down in the 12- to 18-month period. So by 24 months as you noted we expect that leverage to be substantially lower than it is today.
Ben Cowart: The other thing is our net operating loss carry forward that we have, we still have $28 million that we’re working off of. We believe we’ll be able to use that over the rest of this year and next year, so that will help greatly in our de-levering effort.
Evan Richert – Sidoti & Company : Okay great, that’s it from me. Thanks.
Ben Cowart: Thank you.
Operator: Thank you. Our next question comes from the line of Jeremy Hillman with Singular Research. Please proceed with your question.
Jeremy Hillman – Singular Research : Good morning, guys.
Ben Cowart: Good morning, Jeremy.
Jeremy Hillman – Singular Research : I haven’t had a chance to really scrub the 10(q) yet, and just returning to TCEP what’s your angle-ized production run rate looking like right now and also about what percentage of the incoming feedstock is coming from your own collection efforts?
Ben Cowart: Yeah, so last year we operated around 28 million gallons. We’re up annualized around an additional 11 million gallons for the plant. That’s based on the improvements that we made last year. So we’re getting good leverage there; that’s a big improvement. That’s why we see the results that we see. I will say that for this quarter we’re doing our five-year maintenance on the facility so the plant will be down for a longer period for the month of August that may delay us a little bit for the month of August. But I really think that we’ve gotten more capacity, especially when we come online from this turnaround. Q2 was the first quarter that we really unwound those capital improvements and we see more depth there. So it may be incremental but I certainly believe we can sustain that kind of level of production. Now from a collection percentage last year I think we collected around 10.0 million gallons from our H&H group. Today we’re north of 1.2 million gallons a month so I guess we’re pushing close to a 14.0 million, 14.5 million contribution on the collection side. And what’s interesting about that growth is it has a high contribution margin compared to the first 10.0 million because we’re getting again a lot of leverage now with our team, our people and our infrastructure. So everything’s coming together well. We are encouraged by all facets of the TCEP part of our business and the future demand and markets for the product.
Jeremy Hillman – Singular Research : Okay, yeah, thanks for that, Ben. And you anticipated my follow-up in terms of whether you had any planned downtime coming up. One other question from me, just switching gears to Heartland: I had been thinking you’d be looking for a next potential M&A opportunity somewhere in the East Coast or Midwest at some point. Heartland came a little bit sooner than I would have thought, and I’m just kind of curious of did something happen that this was a deal you had to really act on right now? Did this come about sooner than you might have been planning? Just kind of curious for some context and color around that.
Ben Cowart: Yeah, so we’ve been involved with the Heartland facility as a supplier of third-party feedstock since they opened the plant in 2009 so we’ve had a very close relationship with them. We definitely believe the East Coast is a growth opportunity for our company. I think the Heartland facility gave us a very good stepping stone into that Midwest and some access to the East Coast, and it came quickly. So there were decisions by the owners to divest those assets and we were close enough to the company to sit down with them and work this out in a pretty timely and private basis. So we were prepared and we had to move rather quickly to meet their requirements and what they were looking to do. There were two things about the Heartland that should be noted. With base oil prices under pressure it’s not as much of a base oil business as it was originally intended to be; and it’s become, as well as across the industry it’s a used oil business. And you’ve got to really have the depth and expertise both in refining used oil and collecting used oil, and managing the supply going into the plant. Those were the weak areas that Heartland recognized and obviously recognized our strength in those areas, and they couldn’t control base oil prices; and this is a spread business. So we’re very optimistic. We know where the areas of improvement are for that facility and for the collection operations. We’ve already come to a joint operating/consulting agreement to date so we’ve had our team on the ground with their team and we’re making decisions together to make these improvements and recapture the margin; as well as the future of producing finished lubricants out of that facility long-term. So as we roll our lubricant strategy out on the West Coast with the Fallon facility and our Bakersfield blending plant we’re going to apply that same business model long-term to our Heartland business. So we’re pretty excited about that, not to mention the fact that we’ve got a very strong collection footprint already in place that we’re going to accelerate quickly in that region.
Jeremy Hillman – Singular Research : Okay, thanks for that. I appreciate it, Ben, good luck.
Operator: Thank you. Our next question comes from the line of Anne Margaret Crow of Edison Group. Please proceed with your question.
Anne Margaret Crow – Edison Group: Hi, good morning, thank you for taking my call and congratulations on a really great set of results. My question is going really into the heart of things with the core business and making sure that you’re really getting that margin spread. So what potential is there for driving down feedstock costs further? Will you need to invest in additional collection capability in order to be able to do that? And is there potential for reducing the discount on the sales side any more and how would you propose to do that?
Ben Cowart: Yes, so I’ll tackle the sales side first and then back into the collections. We believe that our finished products are still undervalued based on where the markets are heading. When I say “undervalued” it’s really the relational index discounts to these commodity products that we trade into. So we believe we’re going to improve our finished product spread, the sales side. We also are going to collect more gallons. So as you can see we’re growing organically our collection footprint in Texas. Now we’ve got two additional regions and we’re going to expand our collection footprint both in the Ohio region and the West Coast part of the market, and we’re going to grow from Texas back to Louisiana and the Gulf. So there’s going to be continued collection growth. What we really like about the consolidation of all these refining assets, it gives us a very strong presence in refining capacity that should translate to lower feedstock costs across the board – both at a street level from our collection operations as well as our pay for oil with third-party suppliers. And we’ve been working with our third-party suppliers and they also understand and realize that there’s a lot of money that’s filtering its way down to the generator even though top-end sale prices have come down on the industry. So it’s cooperation and we’re working well to get our pricing fairly established up and down the vertical. So I do see a continued improvement in feed costs and I think that we’re in a very good position to drive that in the direction it needs to go.
Anne Margaret Crow – Edison Group: Alright, thank you. Will you be keeping the same operating process at Heartland, the same process for the re-refining?
Ben Cowart: Say that again?
Anne Margaret Crow – Edison Group: Will you be keeping the existing re-refining process at Heartland or will you be changing to…?
Ben Cowart: Yeah, I’ll let Dave answer that.
Dave Peel: No, we’ll keep the same process that’s there. It’s a standard process that’s used by most of the major re-refiners. It consists of a distillation frontend followed by a hydrotreatment. So the intent would be to keep that process and apply our skills and expertise in operating these units to get the most out of the unit.
Anne Margaret Crow – Edison Group: Great, thank you very much.
Ben Cowart: Thank you.
Operator: Thank you. Our next question comes from the line of Bob Evans with Pennington Capital. Please proceed with your question.
Bob Evans – Pennington Capital: Good morning and nice job on the quarter. Can you comment, Ben, there’s been recent discussion as it relates to the new Chevron refining facility and that adding capacity, and that that could have potential impact on your business. Can you discuss that or your perspective on that and let us know your thoughts?
Ben Cowart: Yeah, absolutely. Chevron certainly is a major player in the base oil business and we really don’t want to get in the wake of Chevron from that standpoint. We like the fact that our company is very diversified in our end-product strategy, so even when you look at our role in the base oil refining business, counting Heartland and the Fallon facility in Nevada it still only represents about 28% of our overall feedstock. So we’re very much in the fuel refining business. Our VGO product goes into refineries and into the fuel market for fuel purposes as well as our TCEP product. So it’s not a major concern for us. The biggest part of this for Vertex is we don’t want to be strictly a base oil supplier. I mean we will supply base oil when we need to or when we have to but our goal is to make finished lubricants and we have the assets to allow us to do that. And so we’re focused right out the shoot in Fallon to take our base oil to our facility in Bakersfield and blend up finished lubricants and go to the markets. The good thing is that spread and those margins in finished lubricants are still there. The base oil’s been under pressure because of all these factors you referenced. So two things: we’re focused more on lubricants and we’re 72% of our business is on fuels, not on base oil.
Bob Evans – Pennington Capital: Okay. And you think you can maintain spreads on even the small part of base oil that you have because it’s more regional?
Ben Cowart: Yeah, I mean this is a spread business. It is a spread business, and it really shouldn’t manage what the base oil prices are as long as you can manage the operating costs for your facilities and your costs of feedstock coming into the facilities. And remember, that’s really where we’ve built our reputation is on the raw materials side of the industry. So I’ve got the best team in the world to manage spread and to manage feedstock costs so that we can adapt our spread to whatever market conditions that we’re operating in. That’s our job and that’s how we should be measured.
Bob Evans – Pennington Capital: Gotcha, gotcha. And I think you put out a presentation back in May when you were doing your capital raise and you talked about scenarios under current pricing, improved pricing and EBITDA margin potential, and I think the range was in the 8%s to even as high as 14%. Is that still a valid range to think about as pricing changes?
Ben Cowart: Yeah, we see some real positive things as we look into 2015, 2016. So that’s not tomorrow’s forecast or Q2 or Q3, but it certainly reflects our view of the future markets and what we believe Vertex can do in those markets. Just this quarter alone, just with the improvements that we made, if you net back the add-ins and acquisition costs and the takeaways, etc., our EBTIDA margins were about 6.4% just right out the door. So we see that improving; we believe there’s good leverage in our business model and we’re very comfortable with those numbers.
Bob Evans – Pennington Capital: Okay, thank you. I appreciate it.
Ben Cowart: Yes, sir.
Operator: (Operator instructions.) Our next question comes from the line of Michael Hoffman with Stifel. Please proceed with your question.
Michael Hoffman – Stifel Nicolaus : Hey, thanks for the follow-up. Ben, you did your capacity expansion on TCEP late last year so am I remembering correctly, we should be anniversary-ing that approximate 10 million gallon a quarter pace by Q4, is that correct?
Ben Cowart: That’s what you’ve seen in Q2, Michael. We were operating right at 11 million gallons ahead of last year on a run rate.
Michael Hoffman – Stifel Nicolaus : Okay, right. And so but the capacity expansion was done in Q4 2013, wasn’t it? So this really strong year-over-year volume growth anniversaries by Q4 2014, am I remembering that correctly?
Ben Cowart: Yeah, I think you’re there. I don’t have the actual data but that sounds right. And when I’m looking at a comparison I’m using the end of 2013 volumes and I’m looking at an annualized run rate for the Q2 volumes. So I may have the numbers a little bit mixed up for you but the plant is operating in Q2 at 11 million gallons a year ahead of what we did in 2013.
Michael Hoffman – Stifel Nicolaus : Right, okay. And then Chris, share count, you had a lot of shares as part of these transactions. What’s the right share count for Q3 and Q4 based on the approximate timing of the next closing?
Chris Carlson: Yeah, we’re right at 25.0 million today and then we’ll be around 27.5 million by the end of the year.
Michael Hoffman – Stifel Nicolaus : Okay. And then Ben, on the collection side, in your legacy company pre-Omega you pretty much collected about a third of what you were processing. And now based on the acquisitions you’ve diluted that down obviously to less than 10%. What’s the timeline to get back to a third and is a third the right number? Or should you be 50% given you’re such a bigger player in the market as far as your need for feedstock?
Ben Cowart: Well, I think our assumptions that we made in those target models reflecting 2015, 2016, are very conservative. So I’m very comfortable with hitting those collection targets. I believe that we have an opportunity ahead of us over the next 12 to 24 months to position a lot more collected gallons into the company and we’re very focused on that. So we’d like to just execute on a careful basis and the Heartland platform allows us to really expand our collections in that region. Our Texas platform is going to allow us to continue expanding quickly in this region and we think that there may be a lot more opportunity than what we’re saying in the 25 to 30 million range, I think it could be more. I don’t want to go on record and say we’re going to do more than that because the market conditions are going to dictate that opportunity but I think we’re well-positioned, prepared to step into additional volume and would like to do so.
Michael Hoffman – Stifel Nicolaus : Okay. And then back to the gentleman’s question about Chevron, I get that you’re focused on spread and almost three-quarters is fuel, but have you seen pressure on the base oil market because Chevron’s now shipping low-viscosity? Or did they in fact do what they said they were going to do and they’re exporting that, and it’s had no discernible impact?
Ben Cowart: You know, I think it’s still too early to see what impact Chevron is going to have on the base oil market. I feel like the base oil market is pretty low today. I know it may have taken a hit here a few days ago but it can’t really get much lower than the switching costs for the refineries. So when you look at ultra-low sulfur diesel pricing where the refinery can decide if they’re going to make a base oil or they’re going to make another fuel barrel, you’re getting real close with the additional cost to produce base oil. So you know, I’m optimistic that the base oil market is firming up at these levels. I don’t know if we’re going to see a big ride up but I think we can settle in in this zip code of base oil pricing because of what the majors can do with the feedstock that they’re looking at. And Dave… Yeah, as Dave said it’s still a spread business so we’ve got to adjust the business according to that. And it’s also still a refining and technology business. So I want to emphasize that there’s only 50% refining capacity for the available used oil in the US so these markets will correct. They have to because the other alternative for used oil is still burning it as a fuel and when you look at burning used oil you’ve got to look at the costs of natural gas and natural gas is much cheaper than the current price for used oil. So it’s just the efficiencies of the market and these feed costs coming back in line with the available markets for the product. We think that’s going to happen and we’re going to benefit from that.
Michael Hoffman – Stifel Nicolaus : Okay. And then last question, there’s a fairly significant marine fuel standards change coming at the end of the year. Have you found yourself in a position to be able to take advantage of that given the low sulfur quality of the Marrero plant?
Ben Cowart: Well, we’re working very hard on that opportunity specifically for the facility in Marrero and our product does meet those requirements. These are big buyers so it’s barge-type of sales and we believe we’re going to really enjoy the benefit of those new regulations as they come into play January 1, 2015. So we’re focused on that opportunity, and we’re very encouraged as to what that looks like.
Michael Hoffman – Stifel Nicolaus : Great, thank you for taking the follow-up.
Ben Cowart: Thank you.
Operator: Thank you. Our next question comes from the line of Bob Evans with Pennington Capital. Please proceed with your question.
Bob Evans – Pennington Capital: You know what? I had the same question on the marine fuel opportunity so thanks for answering it.
Ben Cowart: You’re welcome, thank you.
Operator: Thank you. Ladies and gentleman, our final question comes from the line of Jeremy Hillman with Singular Research. Please proceed with your question.
Jeremy Hillman – Singular Research : Hi Ben, just kind of curious for a little bit of perspective on the M&A world more broadly. I almost get the sense that you’re starting to become a first or a second call for the bankers out there. Am I right in thinking that your inbound has picked up and have you seen anything that has kind of come across your desk that you’ve considered closely and turned away?
Ben Cowart: Well, I would say that we’ve found ourselves at most of the major tables when transaction opportunities are available in the market. And so we’re looking at those as they come available and there’s not a problem with deal flow. So if anything we’re being selective and pacing ourselves, and you can see that we’ve been very active. And you know, we want to pick our battles and execute accurately on our strategy, and I believe that the way our Omega transaction has come together speaks to our team and our people and their preparation, and just the bandwidth to hit the ground running. And so we’re very comfortable with where we are and we also believe that there could be other opportunities that could play into our platform but we’re going to do it methodically and carefully.
Jeremy Hillman – Singular Research : Great, thanks for that. I appreciate it.
Ben Cowart: Yep.
Operator: Thank you. Ladies and gentlemen, there are no further questions. I’d like to turn the floor back to Mr. Cowart for any closing comments.
Ben Cowart: Alright, well thank you very much. I appreciate everybody’s time and interest in the business. We look forward to updating you on developments with the company as they unfold and we appreciate you joining the call today.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.